Operator: Good day, ladies and gentlemen. Welcome to Vista Gold’s First Quarter 2025 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference call is being recorded. Today is Friday, May 2, 2025. It’s now my pleasure to introduce Pamela Solly, Vice President of Investor Relations. Please go ahead.
Pamela Solly: Thank you, Constantine, and good day, everyone. Thank you for joining the Vista Gold Corp. first quarter 2025 financial results and corporate update conference call. I’m Pamela Solly, Vice President of Investor Relations. On the call today is Fred Earnest, President and Chief Executive Officer; and Doug Tobler, Chief Financial Officer. On May 1, 2025, Vista reported its operating and financial results for the quarter ended March 31, 2025. Copies of the news release and quarterly report on Form 10-Q are available on our website at www.vistagold.com. During the course of this call and the question-and-answer session, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from results, performance or achievements expressed or implied by such statements. Please refer to our most recently filed Form 10-Q for details of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements and the cautionary note regarding estimates of mineral resources and mineral reserves. I will now turn the call over to Fred Earnest.
Fred Earnest: Thank you, Pam, and thank you, everyone, for joining us on the call today. In the first quarter, we hit the ground running, making great strides toward our 2025 goals and objectives. The progress we have made to-date is a reflection of our team’s dedication and relentless focus on delivering value for our shareholders. Our first quarter achievements continue to underscore our commitment to creating greater value for all stakeholders and positioning Vista and Mt Todd for long-term success. During the quarter, we advanced the 15,000 ton per day Mt Todd feasibility study as planned, completed 1,264 consecutive days without a lost-time accident on site and ended the quarter with a strong cash position. We are committed to delivering the feasibility study by mid-2025, prioritizing the efficient use of our cash and creating long-term value for our shareholders through disciplined execution of our strategy for the Mt Todd Gold Project. I will discuss some of these topics in greater detail later in the call, but I will now turn the time over to Doug Tobler for a review of our financial results for the quarter ended March 31, 2025.
Doug Tobler: Thanks, Fred. I’ll begin today by a discussion or by discussing the summary of our results of operations for the three-month period ended March 31, 2025. As a general comment, I’m pleased to report that our overall financial results are tracking in line with expectations. This includes the work that’s in progress for the 2025 feasibility study that Fred highlighted in his opening remarks. We reported a net loss of $2,708,000 for Q1, 2025, compared to a net loss of $1,073,000 for Q1, 2024. The increase in our loss was primarily the result of two variances. First, we sold part of our used mill equipment during Q1 of 2024. This resulted in a net gain of $802,000 in that period, but there was no similar transaction in Q1 of 2025. And secondly, we reported an increase in our Mt Todd net expenses for exploration, property valuation and holding costs. In 2024, the Batman drilling program was in progress. Drilling and other related site costs totaled $1,256,000 during last year’s first quarter, of which $504,000 was capitalized as development costs. This left a net expense of $752,000. The drilling was largely completed by the end of 2024. Then we started the 2025 feasibility study. As a result, total feasibility and other Mt Todd site costs in Q1 of 2025 were $1,688,000. Of this amount, only $150,000 was capitalized as development costs. The result was a net expense of $1,538,000, which was $786,000 higher than the comparable 2024 first quarter. Turning to our financial position at March 31, 2025, we continued to maintain a strong cash position and support -- to support our ongoing work at Mt Todd. We ended the first quarter of 2025 with $15 million of cash on hand. This compared to $16.9 million of cash on hand at December 31, 2024. The reduction in cash resulted primarily from expenditures for the feasibility study and our other costs of a recurring nature, which included Mt Todd holding costs and our corporate G&A. I would also highlight that we continued to have no debt. Looking forward, we expect our recurring costs and other expenses to remain largely in line with our expectations. For the 12 months following March 31, 2025, the company estimates net recurring costs will be approximately $6.5 million, plus an additional $3 million related to work plans at Mt Todd. Thank you. That concludes my remarks for the day. I’ll turn the call back to Fred.
Fred Earnest: Thank you, Doug. Earlier this year, we provided an overview of our strategy and goals for 2025. Today, I would like to take a moment to reaffirm our strategy and outline what we expect for the remainder of the year. As many of you are aware, in December, we started a new feasibility study for Mt Todd targeting a 60% reduction in capital, now estimated to be approximately $400 million. We are evaluating a 15,000 ton per day or nominally 5.2 million tons per year operation with anticipated gold production of 150,000 ounces to 200,000 ounces of gold per year. We have raised the cutoff grade used to develop the mine designs to achieve our target of having a reserve grade of approximately 1 gram of gold per ton and expect to report gold reserves of more than 5 million ounces. The study will also incorporate mine scheduling optimization strategies that prioritize higher grade ore during the year -- early years of the operation. The consultants selected for this study have extensive Australian and International experience with projects of this scale. We are dedicated to delivering a fit-for-purpose design that can be built more efficiently and in a shorter period of time. This new feasibility study is expected to be completed midyear. The study is an integral part of our efforts to position Mt Todd as one of the most attractive, ready-to-build projects in the world. Now, turning to our first quarter 2025 achievements. As noted earlier, the 15,000 ton per day feasibility study is materially on schedule for midyear completion and is on budget. This study will leverage prior technical studies, preserve the potential for future expansion and demonstrate the opportunity for Mt Todd to deliver attractive economic returns with a smaller initial capital investment. The resource block model has been updated to incorporate data from our 2020 to 2022 and 2024 drilling programs and is being used as the basis for the new mine plan in the feasibility study. The mineral resources estimate will be completed and announced as part of the feasibility study. During the first quarter, we maintained our focus on safety, environmental stewardship and stakeholder interest. Mt Todd has achieved zero lost time accidents and has now surpassed 1,264 days without a workplace incident. We remain committed to our health and safety programs and are focused on building on this achievement. Site personnel continued to successfully manage the Mt Todd environmental initiatives and management continued its proactive engagement with the Jawoyn Aboriginal Association Corporation and other key stakeholders. Looking ahead, as we continue to advance Mt Todd in ways that efficiently position the project for development, we are committed to unlocking the potential of Mt Todd to maximize shareholder value. Our key strategic focus in 2025 is to complete the Mt Todd feasibility study and announce results by mid-2025. We believe the release of the 15,000 ton per day feasibility study results will be well timed in the current gold cycle and serve as a catalyst to accelerate value creation. The results of this feasibility study are expected to confirm Mt Todd ‘s position as one of the most attractive ready-to-build projects in the gold sector. Momentum continues to build in the gold sector. We believe that the lower capital costs of the 15,000 ton per day project in this feasibility study is already attracting interest from investors seeking ready-to-build gold projects like Mt Todd. Vista is committed to seeing Mt Todd developed in compliance with the highest mining and ESG standards and will work diligently toward that goal. For a comprehensive review of the work completed by Vista on the Mt Todd project, I refer you to our corporate presentation which can be found on our website at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity and that current prices represent a tremendous opportunity to establish a position or increase one’s holding in Vista Gold. This concludes my formal remarks. We will now respond to any questions from participants on this call.
Operator: [Operator Instructions] Your first question comes from the line of Heiko Ihle from H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey, Fred. Hey, team. It’s Heiko. Just -- I assume you can hear me okay?
Fred Earnest: Yes. We can, Heiko.
Heiko Ihle: Awesome. Thanks, Fred. We have received quite a bit more interest in Vista and Mt Todd lately just from the buy-side. And I attribute at least some of that to recent strength in spot pricing. I mean, can you give some color on what you’re seeing in the market? We may have a question for Pam as well. Do you see increased investor awareness and also interest? I know you’ve attended quite a few conferences to ramp up awareness in the recent past. I mean, one of which we actually met at. Maybe just a little bit of color on that, please.
Fred Earnest: Yeah. Obviously, gold price is driving renewed interest in the gold sector and gold equities. As you mentioned, we have participated in a number of conferences. And one of the things that we’ve observed is renewed and strong interest in Mt Todd and the work that we’re doing to significantly decrease the initial capital cost for the project. This particular part of the new feasibility study message has resonated particularly strongly with institutional investors and with companies who may be potential partners in some form of a transaction down the road.
Heiko Ihle: Fair enough. Building on the last question a little bit, I mean, everyone looks at gold prices in USDs, but maybe if you look at a long-term chart, I pull out a 15-year chart of the gold price in Australian dollars today. We’re about $5,000 right now, essentially at all-time highest. Anything you want to provide some color on what that does to profitability at a site? I mean, obviously you guys are very dependent on the gold price, and this thing has much more of a correlation to gold pricing than some of the things we cover. Maybe anything you want to leave us with in that regard?
Fred Earnest: Well, certainly being an Australian-based gold project, many of our costs for the project will be in Australian dollars, and as you have rightly noted, the Australian gold price is in that range of $5,000 an ounce in record highs. The Australian investment community is very oriented toward resource investments and gold has risen to be a priority in their portfolios. Obviously, the higher gold price with the majority of our costs being on Australian dollars bodes very well for us, and it’s something that we’re delighted to be able to take advantage of at this period of time as we advance the feasibility study on a smaller-scale project. I think that the timing for this study is going to ultimately work out to be very advantageous for our shareholders, our stakeholders and we’re very excited about that.
Heiko Ihle: Fair enough. We’ll get back in queue and keep monitoring the firm. Thanks a lot.
Fred Earnest: Thank you, Heiko.
Operator: [Operator Instructions] There are no further questions at this time. Sorry, we have a question from the line of Henry Westendorp [ph], a private investor. Please go ahead.
Unidentified Analyst: Good morning.
Fred Earnest: Good morning, Henry.
Unidentified Analyst: I have kind of a subjective view, but I’m having difficulty understanding the price of the shares compared to the value of the resource compared to other resources out there that are available for the majors to look at. In my amateur way, I’m saying this should be a $8 or $10 stock, not a $1 stock. Why would your valuations be lower?
Fred Earnest: Henry, that’s a very astute question. You should not be self-deprecating about asking that question. It’s a question we ask ourselves all the time and you may or may not be aware that all of our past work in evaluating Mt Todd has been designed at a throughput rate of 50,000 tons per day or 17.5 million tons per year. At that scale, the initial capital costs of the project are estimated to be over a $1 billion and we think that one of the reasons why there’s this considerable disconnect between our share price, our market cap, perhaps better said, and the intrinsic value of the deposit is the tremendous initial investment that would be required to build Mt Todd at that project and the concerns over how that would be financed. Having said that, this is one of the key reasons why we have decided to undertake a feasibility study at a significantly smaller scale, roughly a third the size, is because that it represents an opportunity to significantly reduce the initial capital costs of the project without severely impacting the overall economics. And so one of the things that a smaller initial start and certainly when I say initial start, I’m implying that we’re preserving the opportunity for expansion of the project is that it allows the project to be built with a smaller initial investment. It also opens the door to a broader range of companies who might be potential transaction or joint venture partners because it becomes imminently more financeable and more affordable. We think that this is an important step and as we noted in the discussion that we believe this will be a catalyst to changing the value of Mt Todd as we eliminate this considerable initial capital investment overhang that has surrounded the project for a number of years as we thought that the appropriate scale of the project given the size of the resource was much larger. As I commented previously, we’re finding a lot of support for the initial smaller scale project and we’re very excited about that feedback and the potential that this has to be the catalyst for an important rerating on our way to evaluation more in line with your thinking.
Unidentified Analyst: My hope is that if when gold gets to $4,000, $5,000 instead of nobody showing great interest, everybody will show great interest. So I’m hoping you’ve got an excellent future. I had a great future in 1980, another one in 2011, and I think my third happiness will be next year. We’ll see. Good luck to you gentlemen.
Fred Earnest: Well, thank you, Henry and we’re trying to lay the foundation for exactly what you’re looking forward to.
Unidentified Analyst: Okay.
Doug Tobler: Thank you.
Operator: There are no further questions at this time. I’d like to turn the call over to Fred Earnest for closing comments. Sir, please go ahead.
Fred Earnest: Thank you, Constantine, and thank you to those who have asked questions. As we’ve indicated on the call, this is a very interesting time with gold having hit record highs in the last weeks and many expectations for the price of gold to continue to go higher. We are very encouraged by the feedback that we’ve received with regards to the direction that we are pursuing with the Mt Todd project. As indicated, I’m pleased to report that the feasibility study is materially on time and on budget, and we look forward to being able to announce results, we expect middle to the latter part of July of this year. We remain deeply committed to the core values that we espouse as a corporation and as a management team, the health and safety of our people, the protection of the environment, our present and ongoing compliance with all cultural and heritage, and ESG principles and regulations and we’re moving forward to ensure that we’re able to continue to achieve all of these objectives. We’re grateful for the support of our shareholders and we recognize that all investors have multiple choices that they must make. We hope that those of you who may be new to the Vista story will take a serious look at the opportunity that the Mt Todd project represents. We would love to have you as shareholders. For those who are already shareholders, we’re working hard to increase the value of your investment and create value for you. I would like to thank you for your time and attention on the call today and we wish all of you a very pleasant day. Thank you.
Operator: This concludes today’s conference call. Thank you very much for your participation. You may now disconnect.